Operator: Good day, ladies and gentlemen, and welcome to the Advanced Energy First Quarter 2014 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the call over to your host, Annie Leschin, Investor Relations. Please go ahead.
Annie Leschin: Thank you, operator, and good morning, everyone. Thank you for joining us today for our first quarter 2014 earnings conference call. With me on today's call are Garry Rogerson, Chief Executive Officer; Danny Herron, Executive Vice President and CFO; and Yuval Wasserman, President of the Precision Power Products. By now, you should have received a copy of the earnings release that was issued yesterday evening. For a copy of the release, please visit our website at advancedenergy.com, or call us directly at (970) 407-4670. Now, I'd like to remind everyone that except for the historical financial information contained herein the matters discussed on this call contains certain forward-looking statements subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Statements that include the terms believe, expect, plans, objectives, estimates, anticipates, intends, targets, goals or the like should be viewed as forward-looking and uncertain. Such risks and uncertainties include, but are not limited to, the volatility and cyclicality of the industries we serve; the timing of orders received from our customers; and unanticipated changes in our estimates, reserves or allowances as well as other factors listed in our press release. These and other risks are described in Form 10-Q, 10-K and other forms filed with the SEC. In addition, we assume no obligation to update the information that we provided you during this call, including our guidance provided today and in our press release. Guidance will not be updated after today's call until our next scheduled quarterly financial release. With that, I'd like to turn the call over to Garry Rogerson, CEO of Advanced Energy. Garry?
Garry W. Rogerson: Thank you. Good morning, everyone, and thank you for joining us. In a quarter that is always a difficult one for our business, especially in inverters, we generally met our expectations as a company. We grew total revenues by 26% over last year and more than doubled our operating profit and earnings per share compared to the same quarter a year ago. Our backlog increased and we ended the quarter with $123 million of cash. We again put that cash to work in 2 strategically, significant acquisitions over the last few months, both of which should contribute to near-term revenue growth and later expected strong earnings growth. Overall, our strategy continues to prove effective. Our distinctive product diversification, distributed R&D and centralized manufacturing model are expanding our opportunities for growth and profitability. Across our company, our precision power conversion product lines continue to perform well, growing significantly from the same quarter 1 year ago. The high volume of products running through our facility in Shenzhen produced excellent margins and at advantageous tax rate. Product lines, including the 1-megawatt and 3-phased string that are currently in transition to our Shenzhen facility, produced lower margins this quarter affected our results. Additionally, we felt the impact of a particularly harsh weather that halted some projects and impacted orders and revenue. We expect to have completed the task of moving manufacturing of these products in Shenzhen by the end of the year. As we ramp production in our Shenzhen supply chain and manufacturing team, implement operations excellence and reduced material and labor costs, these costs should decline over the next 2 to 3 quarters. This quarter, as part of that cost-reduction efforts, we took steps to consolidate more of the activities relating to this product line and increasingly look for ways to be more profitable. The good news is that all of our power conversion products are being well received by our customers and are positioned at the heart of growing market demand. For instance, our new Pulse RF and bipolar DC products are making inroads into existing and new applications that was not served before. Since the end of the quarter, shipments of the megawatt and 3-phase string inverters into North America have increased, and we have continued to gather large supply contracts with key customers. Integral to our ability to have a constant flow of next-generation, industry-leading products is our centralized manufacturing and distributed development model, which continues to excel. Our teams are consistently winning designs in traditional and new applications, such as etch and sputtering in semiconductors, next-generation FPD processes and additional hard-coating applications. As Yuval will discuss, we are already seeing dramatic shifts in market share resulting from our novel approach to R&D. With 4 acquisitions now complete, our presence in a number of new areas should allow us access to multiple growth opportunities. Our recent acquisition of HiTek is off to a good start. Not only does it strengthen and diversify our position in semiconductors, it provides entry into an entirely new and large stable of applications, such as mass spectrometry, X-ray, significantly increasing our total available market. HiTek is a tremendous acquisition, allowing us to access new applications at an advantageous purchase price as Yuval and Danny will discuss further. Over time, we expect it to become a significant contributor to the overall company for a minimal cash outlay. Our other acquisitions earlier this year, AEG's power control modules, contributed to our industrial expansion this quarter, deepening our penetration of precision power delivery where precise measurements and control are required. Consistent with our model, we plan to maintain distributed R&D locations for these acquired entities while utilizing the strength of their centralized supply chain, manufacturing in Shenzhen, to reduce cost and increase flexibility. These strategies are preparing us to accelerate revenue growth for multiple channels in order to achieve our longer term goal. From our strong inverter product line to our design wins in traditional and new markets, to our recent acquisitions and our extensive customer reach, we are diversifying our applications and geographic focus to become an important worldwide player in power conversion. This should lead to more consistently high-growth applications with plenty of potential opportunities. For example, mass spectrometry is a roughly a $30 billion, $40 billion market where HiTek is gaining share. Other areas include X-ray products for both semi and non-semi applications and MRI. Already, we are seeing the benefits of this diversity in our results and guidance for the future. Finally, the main priority for our cash continues to be finding acquisitions in adjacent applications that fit our R&D and manufacturing model and have the potential for growth through our powerful worldwide distribution channel. As always, we will consider stock buybacks as appropriate. Overall, we are moving in the right direction toward our 3-year aspirational goals discussed in November of last year. Near term, we believe that our second quarter results should be sound. Rather than seeing a commensurate decrease in revenue attributed to cyclical pause in semiconductors, we expect inverter industrial sales to largely balance out the pause, demonstrating the clear advantages of our diversification strategy. One market factor remains out of our control: The potential decision by the U.S. government to expand the current import duties on certain Chinese solar panels and sales to include Taiwan. We believe this could have a material adverse effect on the utility inverter business if solar projects cannot move forward due to increased cost. Consistent with market analysis and customer input, we expect a recovery in all of our markets except solar PV panels in the back half of the year. Our low-cost manufacturing model coupled with our efficient distributed R&D organization should continue to produce industry-leading products and winning new designs for traditional and new applications. Our growing and diversified global presence and emphasis on RONA [ph] puts us in an excellent position to invest in our future and move us towards aspirational goals to grow revenue, expand margins and earnings per share and generate cash. With that, let me turn it over to Yuval.
Yuval Wasserman: Thank you, Garry. And good morning, everyone. Turning to Slide 8. Revenue from our precision power product line declined slightly this quarter, down 5% from last quarter to $83 million. While semiconductor applications moderated after the exceptional fourth quarter, industrial applications performed well, in part reflecting our strategic expansion in our addressable markets. With 2 recent acquisitions, our distributed R&D structure and profitable manufacturing engine are distinguishing us with strong design wins across serve [ph] application, expanding our future growth platforms and enabling increased profitability. Just a few weeks ago, we announced the addition of high-voltage products in custom power solutions by acquiring the HiTek power group. HiTek brings a portfolio that targets global OEMs in new semiconductor applications, including wafer processing, inspection and metrology as well as new and large industrial and analytical applications, such as electron microscopy, mass spectrometry and X-ray systems. We plan to broaden the geographic penetration of these products in existing applications and in new areas, leveraging the strength of our global distribution network. We believe we can drive additional synergies by maintaining our distributed R&D model and leveraging our centralized manufacturing in Shenzhen. Earlier this quarter, we also added AEG's power control modules to target precision power control applications in a variety of industries. This product line has begun to contribute to our industrial revenue, and we're excited at the prospect for a broader set of industrial solutions for the glass industry. These acquisitions reinforce our strategy to drive growth by investing in precision power conversion technologies and expanding our presence in new applications. Turning to the trends we are seeing in our major application areas, let me begin with the Slide 9. Sales to semiconductor applications declined modestly this quarter, in line with the broader market and relatively close to the peak level seen recently. As the build-out of certain fabs and the ramp of 20-nanometers capacity at key customers near completion, some customers are signaling the end of the first stage of this investment cycle while they integrate the enormous capital investments made over the last few quarters. Though incremental tool purchases may continue with mobility and memory the bright spots in the midst the cycle, we anticipate a pause in CapEx spending levels during the second and third quarters. Our growing presence in high-demand applications, such as etch, plasma-enhanced CVD, plasma-enhanced ALD and PVD required for next-generation technologies and a newly added high-voltage presence in [indiscernible] implementation [ph], wafer metrology and inspection gives us confidence in our position when orders and shipments resume later in the year. Flat panel display revenues tailed off in this quarter as tool builders absorb purchases made in the second half of last year. The simultaneous slowdown of the tablet, smartphone and large display markets reduced capacity demand. Throughout the rest of the year, we anticipate a cyclical return to growth outside of LCD CapEx as fabs concentrate their builds in China. We look for market expansion, particularly in next-generation, touch panel-related processes where AE is well positioned for share gains driven with our Ascent DMS bipolar DC product. Additionally, the shift to flexible display technologies and broader market acceptance of larger displays greater than 50 inch should drive the next wave of AMOLED investment, leading to new customer interest in 2015 and production line expansion at the end of 2014. In thin-film renewable, delay in glass purchases in China pushed revenues lower in the first quarter, while our Ascent DMS gained early traction across key glass OEMs and end users. Though glass investment can be lumpy and unpredictable, we believe that China's investment in its Western provinces should return later in the year along with Europe and the U.S. In the meantime, despite the few [indiscernible] silicon technology purchases made this quarter, the solar industry continues its slow consolidation with limited capacity buys and hopeful optimism for a pickup in 2015. Industrial applications improved in the first quarter through a combination of a solid base business, the addition of the power control modules product line and limited stock buys in our data storage business. From our expansion into new hard coating applications, increasing demand for our optical coating products in Europe and Asia, the return of our automotive headlight coating after its seasonal slowdown and the addition of the 2 new product lines for precision power control and high-voltage power solutions, we believe we are poised for a good year. Finally, in service, we saw slightly lower than expected volumes this quarter driven by temporary maintenance, budget constraints at certain customers. With those resolved, we expect to return to the levels seen in the last several quarters by capitalizing on non-brake [ph] fix and geographic opportunities. As fab will use more equipment, we believe our extended retrofit, refurbishment, and used equipment sales program and our reputation, are leading per-share gains at the important customers. Turning to Slide 10. During the first quarter, we won 86% of all of the designs we pursued. Once again, our significant presence in the semiconductor segment was evident as we won 16 of 19 opportunities. These wins focused on etch and advanced 3D etch applications for VNAND and MEMS edge for mobile applications, demonstrating our that our technology is an enabler for the latest device architecture. We also won 41 of 47 industrial designs this quarter, spanning glass coating, industrial and hard coatings and new flat panel display processes, including touch panels. Semiconductor wins translate to potential revenue from volume growth in 2015 and beyond while industrial wins can generate revenue in a shorter timeframe. Our business model is clearly working. Our investment in lean and distributed R&D is resulting in a quantifiable market share gains across all of our served application and product categories. In the recently released 2015 VLSI Research market share analysis report for semiconductors, flat panel, solar PV and data storage market, AE has gained 6 market share points in RF power subsystems, 16 market share points in DC power subsystems and 3 market share points in remote plasma sources. Our precision power product lines did better than expected this quarter even as many of our industries face cyclical pauses. We continue to deliver on our strategy to diversify into new applications and geographies and drive an extremely efficient business with differentiated profitability. Despite the anticipated pause in semiconductors, we continue to believe at 2014 should be a strong year for our precision power product line driven in part by improved performance across our industrial applications. I would now like to turn the call over to Danny to discuss our financials.
Danny C. Herron: Thank you, Yuval. In today's call, I will refer to both GAAP and non-GAAP results. As a reminder, non-GAAP measures exclude the impact of acquisition-related cost, stock-based compensation, amortization of intangibles and nonrecurring tax items. As stated last quarter, we have completed the majority of our restricted activities and do not expect to have further charges except as they relate to acquisitions. A reconciliation of our non-GAAP income from operations and per-share earnings is provided in the press release table. I will be referring to the earnings slides posted on our website this morning. Turning to Slide 12. Let me begin with the highlights of the first quarter. Total revenues were $140.9 million, representing a 26.1% increase versus the same quarter last year and a 7.6% decrease from last quarter of $152.6 million. Non-GAAP adjusted net income increased 55% versus the same quarter last year, reaching $18 million and increasing 34.8% from 27.8% last quarter. We ended the quarter with $123 million in cash and investments. The decrease of $27 million, due primarily to the acquisition of AEG Power Solutions' power control modules and the settlement of performance-like [ph] units in cash versus shares is disclosed in our proxy statement. Turning to our revenue performance on Slide 13. Sales through data storage and industrial applications rose 40% to $11 million from $7.9 million last quarter due in part to the addition of the Thyro family product line from our acquisition of AEG's power control modules in January. Flat panel display applications fell 40% sequentially to $2.2 million as touch panel diodes slowed and tool builders integrated recent PVD shipment. Inverter sales decreased 10.6% sequentially to $58.1 million in the first quarter due to a confluence of market forces, including severe winter weather delays and product transition. Sales to renewable applications declined 64% sequentially to $1.6 million from $4.4 million last quarter due primarily to delayed glass buys in China. Sales to semiconductor applications decreased 5.1% sequentially to $56.3 million as we came off the peak seen in the fourth quarter. Service sales declined 4% to $11.8 billion in the quarter as volumes decreased due to temporary failed [ph] maintenance reductions. Turning to Slide 14. Non-GAAP operating expenses increased to $31.8 million from $30.7 million last quarter. We also incurred pretax charges of $260,000 with acquisition cost related to the purchase of AEG power control modules and HiTek Power, $1.8 million of stock-based compensation and $1.9 million in amortization of intangible assets. As anticipated, stock-based compensation returned to more normal levels as we came out of the fourth quarter accrual of $4.4 million. Total non-GAAP operating margin improved significantly to 14.8% from 11.7% in the same period last year and down from 18.4% recorded in the fourth quarter. Our first quarter tax rate was 12.5% or $2.1 million compared with the large $14.3 million tax benefit we recorded in the fourth quarter. As you may know, the U.S. R&D tax credit has not yet been passed for 2014, so that is not reflected in our tax rate. GAAP net income was $14.7 million or $0.35 per diluted share in the first quarter, including $260,000 acquisition-related expenses. This compares to $34 million or $0.83 per diluted share in the fourth quarter and $6.8 million or $0.17 per diluted share in the same period last year. Non-GAAP adjusted net income was $18.1 million or $0.43 per diluted share in the first quarter. This compares to $27.8 million or $0.67 in the fourth quarter and $11.7 million or $0.29 per diluted share in the first quarter of 2013. Turning to our balance sheet on Slide 15. We ended the quarter with $123 million in cash and investments, down $27 million from $150 million at the end of last quarter. During the quarter, we utilized approximately $30 million to purchase AEG power control modules in late January and $11 million to settle performance stock units in cash. Inventory remained largely flat in the first quarter, decreasing less than $100,000 primarily due to the transition to the 1 megawatt. As acceptance of our new inverter products continue, we may face some potential product obsolescence. Overall, our results largely met our expectations in the first quarter. Even under difficult conditions in some of our end markets, we still increased our non-GAAP profitability from $0.29 to $0.43 year-over-year. This performance reflects the ongoing execution of our strategy to deploy our cash and diversify our product portfolio by developing and adding adjacent power conversion product lines to enable us to more profitably ride out market cycles. With the recent acquisition of HiTek Power Group, a high voltage and custom power solution company based out of the U.K., we are doing just that. This unique transaction was essentially cashless. However, we did assume the pension liability that brings the total consideration to roughly 4x to 5x EBITDA. The clear advantage of this structure is that, in essence, for no money down, we purchased an ongoing revenue profit and cash flow stream that we believe has the potential to grow significantly over the next few years, more than balancing out the investment. Turning to our guidance for the second quarter on Slide 17. We expect revenues to be between $135 million and $145 million despite an effective tax rate of approximately 12% to 14% in 2014 given the expected geographic breakdown of profits. Based on this, we expect GAAP EPS, without restructuring, to be between $0.26 and $0.31 per share and non-GAAP earnings per share to be between $0.34 and $0.40 per share. Non-GAAP guidance excludes restructuring charges of approximately $2 million to $3 million as we integrate our recent acquisitions. Other expected non-GAAP charges for the quarter includes stock-based compensation of $1.8 million and amortization of intangibles, $1.8 million, with acquisition-related cost of approximately $400,000. In closing, we continue to execute on our strategic objectives to return value to our shareholders. Through a combination of our many precision power applications, our recent acquisitions and our strong position in the inverted market with our new products, we are diversifying our revenues and contributing to the profitability of our business. Even with a downturn in some of our end markets, our year-over-year performance continues to distinguish us from our peers as a cyclical growth company. This concludes our prepared remarks for today. Operator, I'd like to open the call for questions.
Operator: [Operator Instructions] Our first question comes from Edwin Mok with Needham & Company.
Y. Edwin Mok - Needham & Company, LLC, Research Division: My first question is on the precision power business. I guess first is just a basic question. How much revenue do you guys expect to generate from the 2 acquisition that you've done, let's say, in the first half of this year? And is that expected to be higher in the second half?
Garry W. Rogerson: We don't usually say revenues. I mean these small acquisitions are certainly going to give us significant revenues in the first quarter, and they're certainly going to help us in the second half of the year with earnings, perhaps before and then, because these are both very good acquisitions. I have to say the HiTek acquisition is really central to us, and Yuval will speak more, but we can really build on that acquisition strongly.
Yuval Wasserman: Right. Hi, Edwin. The HiTek Power acquisition takes us to a technology product lines, industries and applications that we never served before; Applications within semi and other industry but also new industry we never were involved in, such as we've mentioned before, the analytical metrology and industrial applications of analytical equipment for quality assurance, et cetera. So, it's a cornerstone of a growth initiative that we put together that will take us outside of the semi, outside of thin film and expand our PEM.
Garry W. Rogerson: Yes, just one other thing on HiTek. HiTek allows us into the analytics industry, and the one key analytical product there is mass spectrometry. As an end-user market, that's probably somewhere between $30 billion and $40 billion. So we're now into another very, very large marketplace which we can get into. Our global distribution, our global support will help them grow those product lines. We think this product line could become another leg of the company over time, significant leg of the company over the time.
Yuval Wasserman: And the previous acquisition, Edwin, power control modules, take us to the implementation of power in heavy industries. And it goes from glass float processes through medical treatment, steel industry, chemical industries, oil and gas. Really, a very broad and diversified applications in numerous industries whenever precision power is being implemented for thermal or other applications.
Garry W. Rogerson: Clearly, the revenues, which have kept -- are keeping up, which is surprising when we look around us. Our revenues next quarter are essentially flat with this quarter, which is not bad. Why has that happened? Because of the unbelievable market share gains we've had in semi -- in thin film type products. If you get those reports -- I don't know if they get these to reports, but...
Yuval Wasserman: I don't think so. .
Garry W. Rogerson: They don't get them. These are incredible step-wise market share gains, which I have to believe come from our distributed R&D. The way we're now doing R&D is very different, and we're getting products out very fast. So we've gained market share within a lot of the market segments we're in. We're expanding into new markets, and we're acquiring. This has always been part of our strategy, a strong part of our strategy, and it's working. So I'm very happy with it.
Y. Edwin Mok - Needham & Company, LLC, Research Division: Great. That was great color. Just can't seem to presume [ph] Power -- I think you also mentioned on the second half you expect business to improve across your product line. I was wondering how much visibility you have into semi cap also flat panel display customers? And what gives you confidence that you will see a recovery in the second half?
Yuval Wasserman: So as I mentioned in my script, basically, what we hear from analysts, forecasters and our customers is that we're going to see kind of a lull in Q2 and Q3. And the implication of -- I mean, basically, the result of the absorption of the equipment that was acquired during the last quarters -- the equipment that went to nanometer fabs and the push out of the VNAND investment, especially second phase, what we expect to see is a Q2 and Q3 kind of a lull. And then for us, we anticipate the beginning of the recovery in Q4, and this is based on information given to us by analysts but also our customers. In the flat panel display area, we expect to see the recovery in the industry towards the end of the second half. And again, it's all public information. Some of the wins that we have recently are associated with flat panel displays. And we are really, really strongly positioned in the touch panel area where our bipolar DC power supplies is getting a lot of traction. So we're looking forward to the recovery in 2015 -- by the end of 2014 and the installation of equipment in fabs in 2015, because we're going to leverage some of the design wins and the market share gains we have accomplished.
Garry W. Rogerson: Edwin, just to step back there a little bit. One thing on the last question. On this AEG acquisition, we did disclose or it was disclosed. It was about $20 million of revenue there. But if you just step back and look at the company as a whole, whenever the markets come back, we're in a great position, whether it be in our -- in any of our precision power conversion products, we're in a good position. If you look at the inverters, the 3-phase string and the megawatt, one of the things that got us into trouble in the quarter we've just had is the successes of those new products. In fact, over 50% of the inverters that we shipped last quarter were of those new products that aren't under the control of the Shenzhen. And therefore we had a margin issue there. But if I look forward, whatever product line we're in, we seem to be in good shape. So, when the markets come back, we are in good shape to take them. And the machine we have, it can just gear up very easily. So we're in a very nice position whenever the markets pick up. And in some ways, I think your guess is probably better than ours.
Y. Edwin Mok - Needham & Company, LLC, Research Division: So that's a good lead into the Inverter business. So take a look at the inverter margins. It came in quite a bit less than -- or below 10% of operating losses, right, for the quarter. And you talk about bringing cost down by moving your products in Shenzhen. But it sounds through a few [ph] quarters before you come back, right? Are we going to assume -- should we assume that you'll remain operating loss for a few quarters before we start to improve into [indiscernible] products?
Garry W. Rogerson: Just, firstly, and I've said to you before, if any product line dilutes us -- and we look at them as product lines by the way -- we will take action to stop the dilution. We don't like dilution in this company. We're focused on earnings per share as you know. So let me give you some color to what happened. We released the megawatt last year. We started shipping it in December -- I think November of last year, anyways November, December of last year. It was under the control of the U.S. The components were coming in from the U.S., and it's now moving towards Shenzhen. Our issue was that the megawatt was -- I'm not going to say so successful -- was successful. We started to get orders for it, and it put pressure on our high-margin -- higher margin products coming out of Shenzhen. So we had a disappointment because of the success of a product. In the quarter, we've just had, obviously, it's winter -- I know it's winter. We all know it's winter -- made it look a bit worse. But that wasn't the issue. Pricing pressure wasn't the issue. The issue was we released a new product that actually stopped one of our older products that had a higher margin coming out of Shenzhen, giving us some benefits. Yes, oh, it will take a little bit of time for the megawatt and the 3-phase string to get into the control of Shenzhen, so you'll see a steady improvement over the year.
Y. Edwin Mok - Needham & Company, LLC, Research Division: One last question, and I'll go away. How many megawatts did you ship last quarter? And can you tell me rough [indiscernible] what makes you have [indiscernible]?
Garry W. Rogerson: You know I hate that question. Danny can answer that question.
Danny C. Herron: Edwin, the is 324 megawatts for the quarter, slightly up. But the reason we always look at this question is it really doesn't give you a meaningful picture is our mix of products shifts so much. And we don't disclose the mix of products. Obviously, the 3-phase strings sells for more per watt than the 1-megawatt does. So it's real hard with just the megawatt number to get an accurate depiction of what's going on in pricing.
Operator: Our next question comes from Mehdi Hosseini from SIG.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: Going back to the commentary that weather had some adverse impact on inverter shipment. Should we assume that you're guiding Q2 captures what was pushed out from Q1?
Danny C. Herron: You can assume what you want I guess. Clearly, our guidance in Q2 we will expect all our product lines, except semi, to fill the whole. So we think all the product lines will step up a little bit. Is that -- that's -- most of the product lines will step up a little bit to help the drop in semi. And that's the beauty of the diversification of the company, isn't it? Is all of them are picking up, and we would expect the inverter product line to pick up as well in Q2. In fact I think I said in Q4 that I would expect sequential pick up from Q1 to Q2 to Q3 to Q4 as the businesses lumpy, but I would imagine there's going to pick up, yes.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: Sure. And then for your Shenzhen, I'm just trying to better understand how your customers in various segments manage their inventories. Should we assume that it's more of just-in time inventory management and there is basically no visibility for you and you see these quarterly fluctuations is not so much of the cycle it's your customers have consolidated and you're to a large extent, there's no visibility that you can go by?
Garry W. Rogerson: Well, I think that's good comment. But perhaps it's not entirely true. We do have visibility of our bigger customers on how they're controlling their inventory. So we do have some visibility. And by the way, the diversity of applications we're going into now starts to mitigate the risk. So what you're seeing in the next quarter is really no downturn in revenues because of the diversity of the business. We do have some visibility. We do have some. Yuval, do you want to comment more?
Yuval Wasserman: Yes, we do. Maybe -- obviously, we supply -- in the semiconductor world, we supply to multiple OEMs around the world. And as the industry continues to consolidate and the dynamic in the industry becomes such that expectations are for shorter lead times, we do have agreements with our key customers that are just-in-time agreements. And I think we mentioned that before. So that it's more of a -- it's a kanban system, if you may, where there is a push/pull or demand pull that we replenish. So we do have regular forecasting alignment with our customers that allow us to plan and forecast our programs very carefully. There's some level of uncertainty comes from more volatile or dynamic customers in some world regions or specific applications that we basically need to do our homework to understand where the dynamic is going. Historically, if you look at Advanced Energy as a company, we did a pretty good job forecasting by really working closely with our customers. In the non-semiconductor application space, obviously, depends on the nature of the industry we serve. The industrial world is extremely fragmented when you have tremendous amount of small customers around the world. Obviously, in that specific -- part of the business is much more dynamic and much more challenging to forecast. But again, we have developed our own tools, mechanism and demand flow technology and operation that allow us to react very quickly to changes and turn on a dime when we need to. I think a lot of what we do is stay really close to our customers through the distributed engineering organization that we have around the world. Our engineerings, applications engineers and people, are intimately connected to our customers, which allow us to do a better job forecasting.
Operator: Our next question comes from Pavel Molchanov with Raymond James.
Pavel Molchanov - Raymond James & Associates, Inc., Research Division: A couple of housekeeping ones if I may. Danny, you guys have obviously made a number of acquisitions. I think it would help if you can give us some sense of how OpEx should trend in Q2 versus Q1 and in the second half given the additional headcount.
Danny C. Herron: Although we really haven't disclosed that on the OpEx, we -- as with most of our acquisitions, we do expect them to be accretive within the first year. Now, I might mention on HiTek because I know cash flow's key. We basically bought this company for this company for -- we paid about GBP 2 million of cash, and we inherited a balance sheet that had over GBP 4 million of cash. And for that, we assumed the pension liability. But this total deal was about a 4 to 5 multiple of EBITDA. But when you think about it, it was basically buying a company for no money down, acquiring a revenue stream, a cash flow stream and a profit stream for really no risk other than the pension liability.
Pavel Molchanov - Raymond James & Associates, Inc., Research Division: And then, can you mention what cash flow from operations was in Q1?
Danny C. Herron: Well, depending on how you back into it. I think about it like this. We spent about $30 million for the AEG acquisition. We paid $11 million as disclosed in our proxy statement to settle some performance share units. So we used about $41 million. Our total cash grew about $17 million if you net out the effects of where we started at $150 minus the 41 and where we ended up is about $17 million growth for the quarter.
Pavel Molchanov - Raymond James & Associates, Inc., Research Division: And then lastly, on the share buyback, I took note of the fact that you sound more open to it than perhaps you were several quarters ago. Is it -- is that -- am I inferring correctly from your comments at the intro or not?
Garry W. Rogerson: I think you're reading too much into my voice. But the reality is that number one is acquisitions, and we see the benefits now of acquisitions. You've seen them -- you've seen what's happening. Our revenues are not going down. Our profitability is not going down as much as you might expect. So this strategy's working. Buybacks, we will always consider them. Always consider them. If you look at my history, buybacks have always been part of my life. And I believe in a company like ours is it's got a lot of hidden value that a buyback is a good, good thing in the future. Absolutely. But we will balance that with acquisitions and we have a -- there's a tremendous, a lot of companies out there that we're looking at, high-margin companies that we can put down our distribution channel, that we can get into the control of Shenzhen to reduce their cost. It is quite exciting and we just -- we have to balance that. I think we did a $75 million acquisition -- buyback 3 years ago. And we're always ready to do buybacks, always ready to do them. So please don't read too much into my voice, but, yes, I'd like buyback, but I also like acquisitions.
Operator: Our next question is from Shahriar Pourreza with Citigroup.
Shahriar Pourreza - Citigroup Inc, Research Division: Let me just ask you on the inverter, the weakness that we're seeing. Around the U.S., you're starting to see very large utility-scale solar projects by like the looks of Dominion and Duke and Southern Company, Xcel issuing very large RFPs in very nontraditional solar states. But the Inverter business still remains sort of weak. So when you think about it, how much of that weakness you attribute to fundamentals versus -- weather versus seasonal factors?
Garry W. Rogerson: Yes, I think when you look out on the utility business that there is out there there's a lot of business. There's a lot of business out there the back end of 2014 into 2015, but it does tend to push out. Permits and all this type of stuff, financing, whatever it is, tends to push these sites out. But there's certainly is a lot of business out there. And the megawatt is actually fitting in very nicely into that business. It really is, and we've got a lot of interest, and we've have a lot of contracts to buy, commitments to buy the products from us, but the business needs to close at the end user end before it gets to us. We're in good shape to take it. And cost have got to come down on the megawatt. We've got to move the assembly or most of the assembly of that product to Shenzhen, and it is coming down. But, yes, there's a lot of business out there, so I would -- we're in a good position to get. Again, I put that little caveat in there about this panel issue. I just -- where the government is interfering rightly or wrongly, that's up to them. But that is clearly slowing down some of these plants. And the rationale there is they're not viable. But the price with the panels will go up to the sites become not viable. So it could be that some of these could die depending on whether the government -- depending on what the government chooses to do.
Shahriar Pourreza - Citigroup Inc, Research Division: That's actually an interesting point with the anti-dumping kind around the tariffs. Are you -- do you have any sense on what you think the government will go? Because you find very participants in the solar industry that are actually vying for these tariffs. So the question is, is you did make a comment that you see significant impact in the solar industry on the utility scale side. Can you maybe just give us a little bit of an insight of where you think this is going to head?
Garry W. Rogerson: No. I'd love to. I do -- that I've got the inside track, but I don't have the inside track. We're clearly trying to help as much as we can, but we're not lobbyists. We're not into that, so -- but what I can tell you is there are sites that are viable at the moment that won't be viable if the government goes one way. That is to in effect tax Taiwan. If they choose to merge Taiwan and China together, that will absolutely have an effect on panel pricing, and that will absolutely have an effect on that business. Certain sites won't go.
Shahriar Pourreza - Citigroup Inc, Research Division: And just one last question. On the acquisition front, so as you look forward --
Garry W. Rogerson: Sorry, can I just step back there. That did not affect our Q1 results. I just want to make sure. That is a future issue. In fact I think decisions are going to be made this quarter at the government level. I think sometime in June. If I remember right, June 2nd is the date they've said. I don't know if that's in stone, but that's the date that apparently we're going to be told whether we're going -- whether Taiwan and China is one country or not.
Shahriar Pourreza - Citigroup Inc, Research Division: And then just one last question on acquisitions. As you look forward and you're looking at to potentially to make acquisitions, are we more focused on precision power or on the inverter side?
Garry W. Rogerson: You know what we're focused on? We're focused on earnings per share, cash generation and things that fit with our model. And that's a really good question because we don't get hung up so much on the marketplace. What we get hung up on is does it affect our model. Because our model really works. You've seen it today with the R&D. This distributed R&D having isolated R&D groups, focusing on their application and their application only means that they do better work and products come out faster. The Shenzhen facility is just marvelous. It's just a cash-generating machine. So what we're looking at really is how conversion -- precision power conversion products, and inverters are part of that. All our products are part of that, so we're looking at them all. We've got this very powerful distribution. We've got great brand recognition across the world, so we want to work on that. So we're looking both at inverters and peripheral products around inverters, of course, and other precision power conversion products. We're open to the product that we're going through. We're not close on inverters. We're not close on the other precision power conversion products.
Operator: Our next question comes from Joe Maxa with Dougherty & Company.
Joseph A. Maxa - Dougherty & Company LLC, Research Division: I wanted to ask also on the inverter side of the business. I think in the past I think a couple of quarters ago you talked about a pretty strong backlog towards the end of 2013. I'm wondering if you can give us a little update on where that looks today with that 1 megawatt?
Garry W. Rogerson: That's a good question, and our backlog is significantly higher for the company than they were a year ago. Backlogs in megawatt are higher. Backlogs in 3-phase string are higher than they were a year ago. In fact, again, reflecting back on the quarter, we did well. I mean, as I said, over 50% of the product shipped out of the inverters was either 3-phase string or megawatts, which is pretty amazing actually the shift that's occurred. And that's the thing we sort of screwed up is that, that shift has occurred so fast. And we had backlog in those products to ship more. The problem is, one, we could've -- well, we actually couldn't have shipped more. The issue was the cost of those shipments going through. So we still got good backlog in 3-phase string and the megawatt and in our other product lines. I think you'll see -- Dan, you want to -- I think once you said backlogs -- backlog increased last quarter as a company.
Danny C. Herron: In total, backlogs have increased. They've increased versus the first quarter last year in our businesses. And the other point to Garry's point, the acceleration of the megawatt and the 3-phase string. Just for instance, in the megawatt, we doubled production during the quarter as we ramp this up on the production curve. But as any new product, it's got excess cost at the beginning, and we are transitioning that product to Shenzhen, so it's a dual-edged sword. I mean it's a nice problem to have that it's been so well received, but we want to get it into Shenzhen where the costs are lower as we shipped more and more units out of there.
Garry W. Rogerson: We are getting a lot of interest in those products. I'll give you another example. In Canada, I think we have contracts to buy, which people are going to buy from, for about $4 million to $5 million waiting on shipments of 3-phase string. And we have to develop the product, which we, and we'll manufacture in Canada, which it has to, to out of the hurdle. And that all costs us money. So we got lots of new products coming along, and it's costing us money to do, but we're in a good shape product-wise in inverters. In fact we're in good shape product-wise full stock [ph]. We've got to get everything going through Shenzhen though. That's what we've got to do. Because then both -- all our product lines benefit. I mean the margins go up on our other precision position power product if we get all our inverter products coming from Shenzhen. So we need to push everything through their, outsourced from there, just as the model says. And the model works. Whether it's R&D, whether it's distribution, whether it's manufacturing, the model we have is our biggest competitive advantage by far, and it's exciting for us. It's really -- and it's very scalable.
Joseph A. Maxa - Dougherty & Company LLC, Research Division: And I believe you said on the previous call that you expected full production or maybe near full production in Q2. Now it sounds like you may not be right till the end of the year. Did I miss something there?
Garry W. Rogerson: No, you are correct, and you are correct in both. We will have full production in Q2. Our issue will be the cost of that production. It won't be the production of the product per se. Our customers will all be satisfied, [indiscernible].
Joseph A. Maxa - Dougherty & Company LLC, Research Division: Lastly, I want to ask Danny. You talked about the potential for some obsolete products. I just want to know potentially how significant may that be?
Danny C. Herron: Well, at this point, we don't have any. We know the potential is always out there. When you have an accelerating new product that competes with one of your older products, there is a chance that you don't get that perfectly balanced. So you end up with some parts and materials that you don't have a home for at some point in time, but we know where that is at this point. It's just it's a -- wanted to make sure we were fully disclosing potentials, that's all.
Garry W. Rogerson: I think maybe I'll say a little bit stronger than that, Danny, in that the success of the megawatt has caught these [indiscernible] products a little bit by surprise. So we will see. There may be some inventory issues later on. There might not be. Obviously, we'll move them as fast as we can.
Operator: [Operator Instructions] Our next question comes from Krish Sankar from Bank of America Merrill Lynch.
Krish Sankar - BofA Merrill Lynch, Research Division: Two quick questions. Number one, on the inverter side, are you seeing any pockets of greater than normal seasonality that you think we may recover? Or are you see softer demand trend broadly across all geographies?
Garry W. Rogerson: Firstly, the seasonality. In some ways, I wished we'd never mentioned seasonality because, golly, winter is winter. And you all know it's an installation slowdown in winter. So I apologize for doing that. The demand for our product is there across the board. I mean have a room that I sit in which has all the prospects on the walls of that room. And that -- there is an absolute full list of prospects for smaller projects and utility projects, so the demand is there. The issue is our financing, which is always difficult. And in the utility area, we have this government trial at the present time. But when I look at the goal at the end of the tunnel or the light at the end of the tunnel, there is a lot of light there. But I say it to you again, I'm not going to let any product line of ours dilute this company. We are focused on earnings per share. We're focused on cash generation, and that's our focus and utilizing that model of our to get there. So I'm excited with all our products. They're all very well positioned at the present time.
Krish Sankar - BofA Merrill Lynch, Research Division: And then one last question. Would you be open to seeking like an exclusive relationship with a developer, kind of like what the GE Solar partnership is? I mean do you think that would give you better demand, clarity and certainty [ph]? Or would you rather continue the way you're doing right now then [indiscernible]? ?
Garry W. Rogerson: Well, firstly, let's step backwards say my game is earnings per share. So anything I can -- any way I can maximize earnings per share is something I would be looking at. So I would be happy with any partnership that would do a better job than what we're doing. So absolutely. We are open to anything and everything within an extremely pragmatic and realistic group.
Operator: I'll now turn the call back over to Garry Rogerson for closing remarks.
Garry W. Rogerson: Well, thank you for asking such good questions today. Thank you for listening. We look forward to seeing you soon on the street somewhere. Thank you. Goodbye.